Operator: Good day and welcome to the Smith Micro Second Quarter 2024 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Charles Messman, Vice President of Marketing. Please go ahead.
Charles Messman : Thank you, Operator. Good afternoon, everyone. We appreciate you joining us today to discuss Smith Micro Software's Financial Results for the Second Quarter Ended June 30th, 2024. By now, you should have received a copy of the press release with the financial results. If you do not have a copy and would like one, please visit the Investor Relations section of our website at www.smithmicro.com. On today's call, we have Bill Smith, our Chairman of the Board, President, Chief Executive Officer, and Jim Kempton, our Chief Financial Officer. Please note that some of the information you will hear during today's discussion consists of forward-looking statements, including without limitations, those regarding the company's future revenue and profitability, our plans and expectations, new product development and availability, new and expanded market opportunities, future product deployments, migration, and our growth by new and existing customers, operating expenses, and the company's cash reserves. Forward-looking statements involve risk and uncertainties, which could cause actual results or trends to differ materially from those expressed or implied by our forward-looking statements. For more information, please refer to the risk factors included in our most recent filing, Form 10-K. Smith Micro assumes no obligation to update any forward-looking statements which speak to our management's belief and assumptions only as the date they are made. I want to point out that in our forthcoming prepared remarks we refer to non-GAAP financial measures. These refer to our press release disseminated earlier today for reconciliation of these non-GAAP financial measures. With that said, I'll turn the call over to Bill. Bill?
Bill Smith : Thanks, Charlie. Good afternoon and thank you for joining us today for our 2024 Second Quarter Conference Call. Let me start the presentation today with some quick updates on the business as we continue to work our way back to growth and profitability. On our last call, we announced that DISH would be our first customer to launch SafePath Global. We are very pleased to confirm that DISH launched Boost Family Guard, which is powered by SafePath Global during the second quarter. This was a significant milestone for us, not only for the growth potential of Boost Family Guard, but also because it is our first SafePath Global deployment and demonstrates the potential of this accelerated deployment model, going from contract execution to launch in about six weeks. This is a duplicable model for us, and we expect to see more SafePath Global wins in the near-term. In addition to the faster launch cycle, The SafePath Global model also allows us to move quickly to deploy updates to the app with new features and functionality and offers a significant upgrade path with other tools that can be added to the platform. Marketing activities have begun for Boost Family Guard and we anticipate subscriber growth on that platform over the remainder of this year. Next we are nearing the completion of our development efforts on the unique SafePath enabled Family Safety offering with our European Tier 1 carrier partner that we previously referenced. We are excited to be in the last phase of this process and expect that our Tier 1 partner will launch an innovative, widespread go-to-market strategy across a multitude of different channels, bringing a new solution to the European market in the early fall. We expect it to be quite visible and open the door to new opportunities for expansion throughout Europe and the rest of the world. Turning to our cost structure, we have completed our cost reduction of approximately $1 million to $1.3 million per quarter, which I discussed on our last call. Some of that impact is reflected in the Q2 quarter results, and the full impact will be reflected in the third quarter results. As we remain focused on returning the company to profitability, we have determined to further streamline our resources and will target an additional $1 million to $1.2 million in cost reductions per quarter, which we will implement in the very near-term to better align our resources. This action will help position the company for a return to growth and profitability and generation of free cash flow. Like the previous cost rationalizations, there will be some benefit in the third quarter from the second cost reduction with the full benefit of these additional adjustments being recognized in the fourth quarter. We believe these changes will strengthen our company for both the long and short term, enabling us to be more agile and faster to market. As we also discussed on our last call, we plan to add a new wave of enhancements to our SafePath platform. This will include SafePath Premium, which will use enhanced AI machine learning to optimize and customize families' online experience and provide cyber bullying protection, social media intelligence, and public safety notifications. Overall, I believe we are very close to seeing the turn in our business case for the better, and our teams are working hard to get us there. But let's turn the call over to Jim to review the financial results in more detail. Jim?
Jim Kempton : Thanks, Bill, and good afternoon everyone. I'll now be covering the financial details of the second quarter of 2024. Please note all of my comments today regarding per share metrics reflect the impact of the 1 for 8 reverse stock split that was approved by our shareholders and effectuated in April 2024. For the second quarter we posted revenue of $5.1 million compared to $10.3 million in the same quarter of 2023, a decrease of approximately 50%. When compared to the first quarter of 2024, revenue decreased by approximately $700,000 or 11%. Year-to-date revenues through June 30th, 2024 were $10.9 million versus $21.3 million through the second quarter of last year. The 48% year-to-date decline is primarily due to the conclusion of the Verizon Family Safety Contract in the fourth quarter of 2023, coupled with the decline in legacy Safe And Found family safety revenue related to the continued attrition of legacy Sprint subscribers driven by T-Mobile's acquisition of Sprint. During the second quarter of 2024, Family Safety revenue was $4.2 million, which decreased by approximately $4.5 million or 52% compared to the second quarter of the prior year, primarily due to our having recognized no Verizon Family Safety revenues during the second quarter of 2024, as that contract concluded in the fourth quarter of 2023, coupled with a continued decline in legacy Sprint Safe and Found revenue. Family Safety revenues decreased by approximately $200,000 or 5% compared to the first quarter of 2024, primarily driven by the continued decline in legacy Sprint Safe and Found revenue. During the second quarter of 2024, CommSuite revenue was approximately $500,000, which decreased by approximately $200,000 compared to the second quarter of 2023. Revenue from CommSuite decreased by approximately $100,000 compared to the first quarter of 2024. However, we have been experiencing subscriber growth on the Boost CommSuite premium visual voicemail platform more recently and expect CommSuite revenue to increase modestly in the third quarter as a result. ViewSpot revenue was approximately $400,000 for the second quarter of 2024, which declined by approximately $500,000 compared to the second quarter of the prior year. The decline in ViewSpot revenues compared to the second quarter of 2023 was primarily due to the previously announced termination of one of our ViewSpot contracts in the second half of 2023. ViewSpot revenues decreased by approximately $300,000 compared to the first quarter of 2024. In the third quarter of 2024, we are expecting consolidated revenues to be in the range of approximately $4.5 million to $5 million. This anticipated decline in revenue as compared to the second quarter, is driven in part by a projected decrease in ViewSpot revenues. For the second quarter of 2024, gross profit was $3.5 million, compared to $7.7 million during the same period of the prior year. A decrease of approximately $4.2 million, primarily due to the period over period decline in revenues. Gross margin was at 69% for the quarter, compared to 75% realized in the second quarter of 2023. The gross profit of $3.5 million in the second quarter of 2024 decreased sequentially by approximately $300,000 compared to the gross profit produced in the first quarter of 2024, driven primarily by the sequential decline in revenues quarter-over-quarter. In the third quarter of 2024, we expect gross margins to be in the range of 70% to 73%. For the year-to-date period ended June 30, 2024, gross profit was $7.3 million compared to the $15.4 million during the corresponding period last year. Gross margin was 67% for the June 30th, 2024 year-to-date period. GAAP operating expenses for the second quarter of 2024 were $10.5 million, a decrease of approximately $500,000 or 4% compared to the second quarter of 2023, primarily as a result of the effect of cost reduction activities undertaken during the second quarter of 2024, partially offset by severance-related costs. GAAP operating expenses for the year-to-date period ended June 30, 2024 were $45.8 million compared to $25.6 million in the prior year-to-date period, an increase of $20.2 million compared to the last year. This period-over-period increase was driven by the non-cash goodwill impairment charge of $24 million incurred in the first quarter of this year. Non-GAAP operating expenses for the second quarter of 2024 were $7.5 million compared to $8.3 million in the second quarter of 2023, a decrease of approximately $700,000 or 9%. Sequentially, non-GAAP operating expenses decreased by approximately $600,000 or 7% from the first quarter of 2024. As we noted on our last earnings call, we did undertake cost reduction actions in the second quarter, as we worked to return the company to profitability. We continue to expect to achieve the targeted savings that we established on our last earnings call. In other words, based on the actions taken to-date, we anticipate that our total non-GAAP operating expenses and cost of sales for the third quarter will decrease by $1 million to $1.3 million compared to the first quarter of 2024. In addition, as Bill had discussed in his opening remarks, we plan to undertake additional expense reductions in the very near-term to further realign our cost structure. As a result of both of these cost reduction initiatives, we expect third quarter 2024 non-GAAP operating expenses to decrease by 6% to 10% compared to the second quarter of 2024. Given the timing of the actions that we plan to take in the third quarter, a partial quarter effect of these reductions will be realized in Q3 2024. In the full quarterly effect of the additional reductions will be realized in the fourth quarter of 2024. As such, we would anticipate a further decline in non-GAAP operating expenses in the fourth quarter of 2024 as compared to the third quarter of 2024. Non-GAAP operating expenses for the year-to-date period through June 30, 2024 were $15.6 million compared to $19.5 million for the year-to-date period ended June 30, 2023, a decrease of $3.9 million or 20% compared to last year. The GAAP net loss for the second quarter of 2024 was $6.9 million or a $0.66 loss per share compared to the GAAP net loss of $5.7 million or a $0.73 loss per share in the second quarter of 2023. The non-GAAP net loss for the second quarter of 2024 was $4 million or a $0.38 loss per share compared to a non-GAAP net loss of approximately $600,000 or an $0.08 loss per share in the second quarter of 2023. Within today's press release, we have provided a reconciliation of our non-GAAP metrics to the most comparable GAAP metric. For the second quarter of 2024, the reconciliation includes adjustments for intangible asset amortization of $1.5 million, stock compensation expense of $1.1 million, depreciation expense of $100,000, and other non-recurring charges, including severance-related costs of $300,000, partially offset by nominal changes to the fair value of warrants. For the year-to-date period, The non-GAAP reconciliation includes adjustments for goodwill impairment of $24 million, intangible asset amortization of $3.3 million, stock compensation expense of $2.3 million, depreciation of approximately $200,000, and non-recurring expenses including severance-related costs of approximately $400,000, partially offset by approximately $200,000 in changes to the Fair Value of Warrants. Due to our cumulative net losses over the past few years, our GAAP tax expense is primarily due to certain state and foreign income taxes. For non-GAAP purposes, we utilized a 0% tax rate for the second quarter of 2024 and 2023. The resulting non-GAAP tax expense reflects the actual income taxes expense during each period. We did conduct a capital raise during the second quarter grossing approximately $4.1 million in cash before transaction-related fees. As a result of this equity offering, we reported $5.6 million of cash and cash equivalents as of June 30th, 2024. This concludes my financial review. Now, back to Bill.
Bill Smith : Thanks, Jim. Let me begin with DISH and provide further color on the activities that I touched on to begin today's call. Boost Family Guard had a successful launch in May and DISH has begun marketing activities on several fronts. DISH has been very collaborative in driving awareness for this new offering and has been receptive to exploring different ways to market this product. We believe the timing is very good for Boost Family Guard right now with the recently launched new branding for DISH Mobile Services under the Boost brand. This branding campaign is creating a fresh new look and feel for the DISH Mobile Services business. And we are working with DISH on plans to capitalize on the new branding with several new awareness marketing campaigns for Boost Family Guard. Some examples include the use of their internal channels such as SMS, email, and website promotions, as well as capitalizing on in-house ad inventory that can be distributed among the several different DISH properties. These campaigns will not only promote the new brand but also promote Boost Family Guard, which could help bring more family plan subscribers to the DISH mobile network. DISH has also recently launched our Ambassador Program, which drives the product promotion directly to consumers and stores and enables different types of [SPF] (ph) and bonus programs to incentivize in-store promotion of the product. As part of this program there are also different training modules for Boost employees, as well as for authorized retail store representatives to teach them about Boost Family Guard while also informing them of the bonus opportunities associated with selling this product. We have enhanced the Ambassador Program by adding the ability for store managers and sales representatives to download different promotional materials directly from the platform, such as signage replacement throughout the store, which accelerates the rollout of the latest marketing collateral as compared with the traditional store [pack-up] (ph) process that is regularly mailed out to the stores. This is an exciting opportunity for growth of Boost Family Guard, as Boost Mobile has a large base of stores with approximately 5,000 throughout the United States. Although we are still in the early days of these marketing efforts, we are excited about the progress made in such a short amount of time for Boost Family Guard and we are just getting started. In addition to the process being made with Boost Family Guard, DISH has now fully deployed CommSuite across the Boost network on all Android devices. DISH will also include among its value-added services, premium visual voicemail, which is powered by our CommSuite platform. As Jim touched on in his remarks, we have seen an uptick in subscribers on the premium visual voicemail platform more recently, which should translate into revenue growth in the third quarter for CommSuite. DISH recently conducted some new promotional activities for this product, which we believe is helping to drive the subscriber growth. Overall, we continue to maintain a strong and collaborative relationship with DISH and are aligned with them on our goals for success of both products. Let's talk about AT&T. We remain very optimistic about the opportunity for subscriber growth at both AT&T and Cricket. We continue to drive awareness of AT&T Secure Family through different marketing channels, a recent example of which is a new promotion with the National Parent Teacher Association that just launched. AT&T Secure Family is now being promoted on the National PTA's website, helping to raise awareness within our targeted demographic for digital family safety. Additionally, we have also been methodically expanding the affiliate influencer program that was launched during the second quarter. We anticipate further expansion of the influencer campaigns in the third quarter to drive more visibility to AT&T's secure family, which we expect will significantly broaden our reach. The campaign will include some great new activities for back to school, which we are very excited about as this timing aligns very nicely with the utility of AT&T secure family. I am encouraged with the progress we are making and I'm looking forward to seeing growth in the coming months because of these efforts. At T-Mobile, we continue to see strong interest in our expanded roadmap enhancements that we believe could help springboard new activities to drive subscriber growth. We are continuing to work on expanding the portfolio of products that we are supporting at T-Mobile. Our sales and marketing teams are working together to further our progress with widening our reach throughout the organization. In the meantime, T-Mobile continues to be a key customer for us. In Europe, we expect to launch our Tier 1 carrier partner in the next few months. This family safety solution will be a unique go-to-market approach for SafePath and we believe it will drive new demand, opening the door for new contracts with carriers throughout the world. I look forward to providing you with additional insight on this contract soon. There's much more to come regarding this carrier and the approach that they're taking to digital family safety, enabled by SafePath and the opportunities we believe the launch of this product will create for us in Europe. Our sales pipeline is also quite strong. We are also in the final stages of concluding a marketing engagement agreement with the Competitive Carriers Association, CCA. Upon completion of this agreement, Smith Micro and CCA will partner to market our SafePath Global Family Safety Solution to CCA's carrier members under a single branded application. This partnership will enable CCA carrier members of any size to offer this valuable solution to their subscribers under the rapid go-to-market model that SafePath Global supports. We believe this agreement will provide access to a collectively large number of subscribers from the many smaller carriers operating in the United States. Without this agreement, reaching these carriers would be a difficult task. In addition to the expected completion of the CCA agreement, there are several other exciting opportunities in the sales pipeline. In Europe, we have opened discussions with another Tier 1 carrier, interested in launching SafePath on an accelerated schedule. We also are in advanced discussions here in the US with carriers to launch SafePath as a strategy to attract new family subscribers. Overall these opportunities combined with our recent successes at DISH and our upcoming launch with our major Tier 1 European carrier give us strong confidence that our strategy will be effective. Before I close, I would like to briefly introduce you to our plans for a new expansion of the SafePath platform that we are calling SafePath Live. While I don't want to go into detail about the product, I do want to mention that this product will utilize our technological strength for family location controls. The offering will provide a premium model for our carrier partners that we believe will greatly expand their reach and further enhance their competitive position. The addition of this product to our portfolio builds on a key focus to expand our reach and market opportunities while leveraging strong relationships with our existing carrier partners. We also see SafePath Live as a strong marketing opportunity to drive users to our full featured SafePath family safety offerings. We are truly excited about this next wave of innovation. We are already in the market discussing SafePath live with our growing list of carrier customers and they like it. We remain confident that the business case for SafePath is strong. It is our core belief that the overall family safety market is expanding, particularly in the current environment as we continue to see new initiatives and legislation across the United States and around the world with a clear focus on online safety. We plan to capitalize on this momentum and leverage it to expand the reach of our solutions. We have a solid base to build from and believe that we are driving toward meaningful subscriber growth across multiple carrier customers which is key to putting us on a path to growth and profitability. With that said, Operator, let's open the call for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Scott Searle of Roth Capital. Please go ahead.
Scott Searle: Hey, good afternoon. Thanks for taking the questions. Hey, Bill, maybe to jump right in, timing, you know, has really been the headwind in terms of carrier launches but it seems like as we're looking into the third quarter we're starting to see the bottom here in SafePath. I'm wondering if you could talk directionally about what you're expecting for safe path into the third quarter and then given the anticipated launch schedules of the European carrier ramping up at DISH and some potential other carriers getting a little bit more aggressive, should we expect SafePath to be rebounding then into the fourth quarter?
Bill Smith: Yes, look I would say this -- I would say that we will you know get the launch behind us in Europe. It'll happen hopefully before the end of the third quarter. And that will put us on a strong direction for growth for fourth quarter. I expect fourth quarter to show some meaningful leverage of the SafePath revenues. And I think that will be the sign that everybody's been waiting for.
Scott Searle: Great. And maybe just to follow up on SafePath Global, it's nice to see the rapid launch on DISH. I'm wondering if you could frame that a little bit in terms of how you're going to characterize success there in terms of penetration of that base. And then it sounds like the pipeline continues to grow there, and I think you referenced another opportunity in Europe, but it wasn't clear to me if that was SafePath Global or if that's a more traditional type deployment. So specifically on the SafePath Global front, I'm wondering how big is that pipeline in terms of carriers and your expectations in terms of what you can close this year?
Bill Smith: Yes, I would say that all of the opportunities I talked about as being in process, you know, the added tier 1 carrier in Europe as well as others here in North America will be based around SafePath Global. So the time to market should be very rapid and so that's another positive sign. As we move into fourth quarter and then in the first quarter of 2025, that should provide the leverage that we're looking for to turn us into a profitable company and start to really grow our revenues. The only exception to that is the launch of the first Tier 1 carrier in Europe that I'm alluding to is going to be using a slightly different product and we can't talk about it yet. As soon as it launches we will announce what that product is and what its purpose is. It is an exciting market opportunity in and of itself and it is repeatable. So I think that's the really strong message that we have here. I think that we have reached the point now where we've consolidated everything, we've streamlined our operations, and we're you know on a course for meaningful growth.
Scott Searle: Great and lastly if I could CCA is a very interesting a little bit of a stealth growth agreement there. I'm wondering if you could frame that in terms of size. You know, how many subscribers are contained with CCA carriers? And it sounds like you could ramp this up pretty quickly. So I'm wondering when you would expect to see some of the results with SafePath Global and CCA, thanks.
Bill Smith: Okay, yeah, we're pretty excited about the CCA opportunity. It provides us access to a large number, about 40, 50 different carriers around the US. And I'm not including T-Mobile, who is also a member of CCA. So that's their excluded from this opportunity, because we already do business with them. So, collectively, we are talking about tens of millions of subs and individually, there are a number of carriers that are smaller that would be very difficult to market to without this marketing arrangement. And we're very, very excited, as is CCA, to be able to leverage their footprint to find some more meaningful growth. Again, we will focus on SafePath Global with all of these accounts. We are looking for very rapid deployment and we'll be back talking about that, you know, in the weeks to come.
Scott Searle: Great, thanks so much. I'll get back in the queue.
Operator: The next question comes from Matthew Harrigan of Benchmark. Please go ahead.
Matthew Harrigan: Thank you. One really broad question and one fairly narrow one.
Bill Smith: Matt, we can't hear you. Can you get louder?
Matthew Harrigan: Sure. Hopefully you're at an inflection point now for SafePath, really both here and in Europe. And you've certainly [honed] (ph) down your costs repeatedly now. And you just did an equity raise, you know, last quarter. So how is it that you are really embarking on some more fairly aggressive, you know, cost reductions just as you did the equity raise and you seem to be hopefully be hitting an operational inflection point. And then I'll say the next question after your answer.
Bill Smith: First, the power of Safe Path Global is that it does not require a lot of customization to reach the deployment. You know, the first deployment was done in 6 weeks. We actually believe we could deploy in less than that and so that's part of our overall strategy. Because we're not doing a lot of heavy customizing and we are looking to deploy a number of other carrier customers, we have looked at our resources and determined that we can do this with less headcount. We also have been able to streamline the cost structure in that all of the ring costs for the ring platform, which were substantial, can now be ended and are in the process of having that happen. So we're talking about multiple hundreds of thousands of dollars that was involved in running the Ring platform and that is being rung out of our business model. It has been rung out over the course of this year. So we've done a lot to streamline our go-to-market, to streamline what it takes to bring new carrier customers into the fold, and we look forward to talking about a number of new names and showing you some meaningful growth. And I guess this is also relevant to SafePath Global, but when you look at the Europeans, here are 1 carriers, as you know, that tend to have a lot of autonomy on a national basis. And I know that your product introduction to [some of them] (ph) and select markets, I don't know how much customization there is. If you go from Czech to Greece to Spain or wherever but is this something that's really going to allow you with a TEP or a Vodafone to really hit the map much faster when you have you know operating in 15 or 20 countries and you might have a trial in one country and other in the old world, maybe a three year process to have, you know, broad adoption.
Jim Kempton: Yes, look, I, you know, What I can say is this, this launch will be launched in a first country. It is a country where they have meaningful size and we are already in conversations about who the next countries will be. So this is just the beginning. So when we launch in a couple of months, yes that's just the first country and there's more to follow and they can be -- and that can be done in rapid fashion. Really the only difference is just changing the language and so that the users can read the props.
Matthew Harrigan: That's great. Thank you.
Operator: [Operator Instructions] And our next question comes from Leo Carpio of Joseph Gunnar. Please go ahead.
Leo Carpio: Good afternoon, gentlemen. I actually have two quick questions. The first one regarding the operating expenses. It seems like you're doing a great job in terms of reducing the costs. It sounds like the second round is coming in. How much more opportunity is there in terms of reducing costs going forward? Could it be a third or fourth round invasion? And then secondly, in terms of the pipelines of opportunity, CCA sounds like an exciting opportunity. Are there other similar associations that are out in the market available, either in Europe or in the US, that you haven't reached out to and could be a possibility. Thanks.
Bill Smith: Yes, Leo, I mean, we're pretty excited about getting the first one done with CCA. We are always looking to work with other industry organizations to broaden our reach and do it in a much more effective manner. So, you know, you'll have to stay tuned for that. But the CCA opportunity, I think, will bode very, very well for us. And it's a section of the market that you know we haven't really been able to focus on and it's pretty exciting. So let's just wait and see. Let's get them launched with some new names and see how it grows.
Jim Kempton: Leo? We can't hear you.
Leo Carpio: Oh, it did. Just quickly, to follow up on the cost question. You've already had two rounds of $1 million plus on cost savings. Is there a vision of possibly even more cost savings going forward or it's as much as you can extract from Ops at this point?
Jim Kempton: Well we always look at our cost structure and, you know, look to optimize it, but at this point, you know, that between the two reduction initiatives, we're talking about $2 million to $2.5 million in total. So that's what we are targeting currently.
Leo Carpio: All right, thank you.
Operator: The next question comes from Brian Swift of Security Research. Please go ahead.
Brian Swift: Yeah, I have a couple questions. First, just to clarify, I think, Jim, in your comments, you guided Q3 to $4.5 million to $5 million, And I think you also said that much of that decline was your anticipated results from ViewSpot. And since the ViewSpot went down $300,00 to $400,000, is it going to zero or what maybe you can give me a little color on that?
Jim Kempton: We certainly expected to decline further from where it's at now I will say that we don't expect it to go all the way to zero but we are expecting a decline there.
Bill Smith: Yeah let me add that we also have new opportunities for ViewSpot that we are exploring and they're with meaningful names, so let's just you know we'll monitor the process we'll report it safely every quarter but I think it's a nice product. It's had sort of a checkered role in the market in the last year or so, but that doesn't mean that we can't turn it around. So we'll see.
Brian Swift: Okay. And secondly, we've had a continual slide in the Sprint revenues that seems to be consistently more than offsetting anyway, whatever gains you're getting at T-Mobile. Can you give us a little bit more color on each quarter? It seems like you're optimistic about what T-Mobile is doing in terms of promotions and such. I remember when you really started accelerating with Sprint was when you had a program where they were really doing a lot of training with the in-store people doing promotions and such. Do you see any kind of activity like that at T-Mobile and as well as at AT&T where we could see? Because it seems like we should be seeing some uptick here, but when you guide to [$4.5 million, $5 million] (ph) it means we haven't hit the trough yet. It's a little discouraging, to say the least. Anyway, I'd like to see what your thoughts are on how you plan to get this thing moving in the right direction here, other than what you've already talked about.
Bill Smith: Well, you know, I think you've brought up Sprint and you've brought up the success we had at Sprint. And we've always thought it would be very repeatable. Based on the commentary I've already made, I think you can see that DISH is doing everything that Sprint did plus more. So I think where you really want to watch is to watch the growth for DISH and the Boost Family Guard. I believe that's going to be a rather exciting event. I haven't said much. I didn't say much about T-Mobile on this call. You know the decline of sprint users is getting down to a fairly small number overall. So you know I think that issue is one that's probably going to just sort of you know take its course. But look, watch what happens at DISH, and I think you're going to see some meaningful growth there, and that's what you ought to be looking for and then we'll launch the European carrier. These new carriers are excited, they are full of energy, they want to be very successful, they believe family safety is right for the time. I mean look at all the laws that are being talked about and being passed. I mean the Senate passed a bill to today. It's got to -- we're waiting for the House. But there's all kinds of things going on not only in the US but also in Europe. This is an exciting market and yes we've tested your patience Brian but you know I know you're a patient guy so -- we'll work our way through it.
Brian Swift: All right. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Charles Messman for any closing remarks.
Charles Messman: Well, I thank everyone for joining us today. If you have any follow-up questions, please feel free to reach out to us. We appreciate you taking the time, and we'll look forward to talking to you on our next earnings call. Thanks, everybody.
Operator: The conference is now concluded. Thank you for attending today's presentation and you may now disconnect.